Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the New York Mortgage Trust Third Quarter 2016 Results Conference Call. During today’s presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be open for questions. [Operator Instructions] This conference is being recorded on Wednesday, November 2, 2016. A press release with New York Mortgage Trust’s third quarter 2016 results was released yesterday. The press release is available on the Company’s website at www.nymtrust.com. Additionally, we are hosting a live webcast of today’s call, which you can access in the Events & Presentations section of the Company’s website. At this time, management would like me to inform you that certain statements made during this conference call, which are not historical, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although, New York Mortgage Trust believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, they can give no assurance that its expectations will be attained. Factors and risks that could cause actual results to differ materially from expectations are detailed in yesterday’s press release and from time-to-time in the Company’s filings with the Securities and Exchange Commission. Now at this time, I would like to introduce Steve Mumma, Chairman and CEO. Steve, please go ahead.
Steven Mumma: Thank you, operator. Good morning, everyone and thank you for being on the call. Kevin Donlon our President and Senior Executive heading up our multifamily business are also be on the call and will be available to answer questions at the end of this presentation. Included in our 8-K filing yesterday was our third quarter earnings press release. Included in our 8-K filing yesterday was our third quarter earnings press release. The Company's investment portfolio generated solid returns in a stable book value during the quarter. As evidenced by the total economic return of 3.1% and a book value of $6.34 per share. Overall portfolio performance benefited from our multifamily and residential credit investment. Including sales of distressed residential loans which produced $6.7 million realized gain for the quarter. We continue to transition our portfolio during the quarter to one increasingly focused on multifamily and residential credit asset. Purchasing $76 million of non-agency RMBS backed by distressed residential loan and originating $32 million of multifamily preferred equity investments. While further reducing our capital allocation to the agency RMBS strategy by 9% during the quarter. Subsequent to the end of the quarter we also repaid $56 million of outstanding notes issued by one of our multifamily CMBS securities, collateralized recourse financing. As a result of this repayment of this financing we were able to unlock approximately $182 million of multifamily CMBS securities that served as collateral. We expect to securitize these assets again in the near future on terms that will be more favorable than the terms of the prior financing, which was originated in November of 2013. On a macro-level, interest rates continued their volatile, but range-bound movements, with 10-year treasury note yield hitting a historic low in July at 1.36%, only to go back up to 1.60% by the quarter end and today currently trading around 1.80%. The markets in which we compete for investments continue to be challenging, as asset pricing remains high due in large part to greater competition. Because of this, we continue to be diligent in our search for investments consistent with our goal to deliver attractive risk adjusted returns. The Company generated net income of $20 million or $0.18 per share for the third quarter and increase of $9 million from the previous quarter. The portfolio generated net interest income of $15.5 million and net interest margin of 282 basis points. Book value per common share was $6.34 at September 30, 2016, down $0.4 from the previous quarter, Company declared at $0.24 dividend during the quarter, delivering an economic return of 3.1% for the quarter and 8% economic return for the nine months ended September 30, 2016. During the quarter the Company sold $30.4 million of distressed residential loans realizing a gain of approximately $6.7 million before taxes. We had approximately $108 million in credit assets during the quarter, including $32 million in preferred equity investments in multifamily properties as well as $76 million and re-performing and non-performing and non-agency residential securities. Looking to our capital allocation table. You will see we’ve approximately 83% of our equity investment in credit asset. Including 48% of multifamily, 35% in residential credit assets and the remaining 17% as invest in our agency strategy which includes fixed rate, adjustable rate and interest only agency securities. We've decreased our equity exposure another $15 million during the third quarter through security pay downs and outright reductions. We will continue to systematically reduced agency exposure and redeploying the credit strategies opportunistically. Our distressed residential credit strategy where we currently have approximately 30% of our capital allocated was largely unchanged from the previous quarter. During the quarter we still $30 million in loans realizing a gain of approximately $6.7 million before taxes. We continue to believe this strategy will deliver the expect returns we have seen historically and expect solid and expect a solid fourth quarter. As of July 1, we have a new management agreement applies with our advisor that we believe will better align management fees with actual result. The fees we're now we've based on the net equity invested in our distressed residential loan strategy and not on asset balances. The effect of this will lower base management fees, but should increase potential incentive compensation. However, the overall amount will partially be the same except in periods where we have reduced realize gains resulting unless incentive fees. There by having a better alignment of fees and performance for our shareholders. During the second and third quarter we purchase approximately $188 million in re-performing and non-performing securities, which are backed by the same type of collaterals, are distressed residential loan portfolio. The yields on these securities had wind down in the second quarter which presented investment opportunity. Since June spreads started tightened and are currently at levels that are no longer attractive. We'll continue to monitor this market for opportunities and anticipate the risk retention regulations will lead to additional opportunities in a securitization market. As we [indiscernible] national sponsor for many of the deals which were previously done by banks and Wall Street firms. Our multifamily portfolio which now represents approximately 48% of our invested capital continues to perform as expected. We added approximately $32 million in preferred equity investments bringing our total investment in direct property to approximately $174 million for 30 distinct multifamily properties. We anticipate our growth in the asset class to accelerate as we have fully completed our integration of the second quarter purchase of RiverBanc and have increased our capital allocation and commitment to the sector. In October, we called our 2013 CMBS securitization be paying $56 million but more importantly releasing approximately $182 million in collateral value. Since 2013 funding costs have decreased, access to funding alternatives has increased which should lead to increased borrowing amounts at lower costs. Over time this will be accretive to earnings while allowing us to be more competitive lender. We continue to focus our lending in areas of the country where we see positive population growth, favorable business environment and an opportunity for property value enhancement. Our second lien origination program continues to move forward albeit at a slow pace. As of September 30, we had approximately $13 million of funding. We are in the process of bringing two new originators on board one of which has a dedicated second lien sales force which we anticipate will increase our investment flows in the coming quarters. Portfolio net interest margin was 282 basis points a decrease of 39 basis points from the previous quarter. CPRCs were up across most categories with our Agency ARMs increased to 20.7% from 17.6%. Our agency fixed rate essentially unchanged at 10% our best performing class and our Agency IOs increasing to 18.2% from 15.6%. As we reduced our agency exposure the net spreads are more negatively impacted by our interest rate swap costs which are allocated solely to these silos for consistency purposes when in fact they are hedging the overall duration of the company in some instances. While IO net interest spread decreased to 13 basis points, this do not tell the entire story. As the overall performance of the quarter was outstanding delivering approximately 15% total rate of return on invested equity. For the quarter ended September 30, 2016, we originated, we recognized other income of $16.6 million primarily from realized gains of $2.3 million and unrealized gains of $1.6 million on investment securities and related hedges to our agency IO portfolio. We had realized net gains of $6.4 million from a distressed residential loan and $5.6 million in other income which was driven from our investments in unconsolidated entities related to our recent purchase of RiverBanc. Total general, administrative and other expenses for the third quarter of 2016 were approximately $8.7 million down $1.2 million from the second quarter. Salaries, benefits and directors’ compensation was unchanged at $2.7 million which now fully reflects the additional employees from of the RiverBanc purchase which closed in May of 2016. Base management and incentive fees decreased by $1.5 million due to two factors the management fee calculation change related to our distressed residential loan strategy and the internalization of RiverBanc, which eliminated fees altogether. We continue to focus on loan from results while protecting the enterprise value of the company, delivering a 3.1% orderly economic return and a 10.6% annualized economic return for this first nine months of the year. We will continue to focus on multifamily and residential credit as we believe these asset categories will give us the best opportunity to deliver stable risk adjusted return. Thank you for your continued support. Our 10-Q will be filed on or about Thursday, November 3, with the SEC and will be available on our website thereafter. Operator, if you would please open the call for questions for Kevin and I. Thank you.
Operator: Thank you. [Operator Instructions] Our first question is from Douglas Harter of Credit Suisse. Your line is open.
Sam Choe: Hi, this is actually Sam Choe filling in. So I saw that you guys. So you guys unlock the multifamily CMBS and you mentioned that you're looking to re-securitized those. What kind of terms, do you have to see to kind of determine, - I guess when to securitize does now as opposed to maybe in the near future like, what do you consider when you do that?
Steven Mumma: Our need for current liquidity. Right, now we simply have multiple alternatives for funding. We can actually do, three years ago we couldn't do really any type of repo. Today we can do repo with several different lenders at rates that are far lower than a securitized cost, but they don't have this longer term. But we can do repos from one month after two years. We can do securitization is now after five years. All of which will be less than the cost of what we had done previously. The previous financing was at LIBOR plus 525 basis points. And the advance rate on that initial funding in 2013 was approximately 50% and depending on the term of the maturity today it's anywhere from 60% to 70%. So for more proceeds at a much lower cost of capital. The repo gives us flexibility to deploy it as needed. The securitization would give us more certainty of execution and cost for a longer period of time. So, clearly as we get more fully invested we would roll from a repo funding strategy into a more longer term securitization.
Sam Choe: Got it. Okay. I guess this leads into my next question. So leverage ticked up a bit this quarter and I was wondering if that's a good run rate that we could use going forward?
Steven Mumma: Look I think the anticipation would be to ultimately bring the leverage up to the company to about 1.7 times. We are looking for ways to fund our preferred equity investments which right now are not levered. So we're looking at possible ways to access markets and/or get some kind of secure borrowing to get that portfolio, we have not levered our CMBS securities if we have $200 million in collateral sitting there that are was leverage on them. That said available to leverage in the future if we need to. Our distressed residential loan portfolio now is getting close to where we think the proper levels are from a leverage standpoint and our second lien program is so small, we haven't put any leverage on that but we do have opportunities to do that. But I would say overall Sam about 1.7 times and that 1.7 probably 60% of that turn, 60% of the 1.7 is in securitized financing that are more permanent and the other turn 0.7 turn is related to repo.
Sam Choe: Got it. Very helpful. Thank you.
Operator: Our next question is from Eric Hagen of KBW. Your line is open.
Eric Hagen: Thanks. Good morning, Steve. How are you?
Steven Mumma: Good morning, Eric.
Eric Hagen: I want to better understand the sales of the distressed loans during the quarter, it looks like the premium that you sold that package of loans over the carrying value was about 24%, but at the - at the end of the first quarter. You did a similar size deal that that went for about 16% over par. I want to better understand the difference between this quarter's sale and the first quarter's sale?
Steven Mumma: Yes. The first quarter sale was put out really in the fourth quarter, okay. And so fourth quarter into the first quarter spreads and widen a little bit and pricing was a little softer. As we've gone through this year the prices have done better. And then the other caveat to that is, if you look at the composition of the portfolio in the types of loans were selling and the bid types of buyers of the loan that has an impact on the pricing also. So there's a lot of different factors, overbearing factor is market environment. And then the second largest factor is composition of the portfolio that we're trying to sell.
Eric Hagen: And it seems like in both cases, you sell the pretty similar amount of loans themselves, so is there something in the market that is there like a supply demand factor in the market that allows you to only traffic in about $30 million of loans at a time or is that is there something special about that number that you do every quarter?
Steven Mumma: No. I think we try to have more targeted sales as opposed to a large pool sale that goes have to purchase a large participation. So while we'll sell $30 million or $40 million in a month that may be represented by five or six separate sales. So we will accumulate loans in pools where we think we have demand on various types of either geographic region or types of loans and that's where we think we get a better execution.
Eric Hagen: Gotcha. And maybe you can comment just generally on how competitive new investments are for CMBS right now?
Steven Mumma: Yes. Look, we are out making multifamily investments. We have a good team of people out there working those investments. The timeline of those investments is between 45 to 90 days to close, so it’s longtime horizon. In the securities market, especially the spreads in the CMBS credit sector have come in dramatically from the first quarter. I don't see a lot of trading activity. The new issue market seems to be well bit in competitive. So it's difficult to accumulate significant size on a rapid pace. And we think our best alternative today is origination and that's where we're focusing a lot of our time on today.
Eric Hagen: So the trepidation behind some of the things that we've heard in the CMBS market, I don't want to say we should ignore those altogether, but how should we treat those headlines surrounding?
Steven Mumma: I think one thing that we've demonstrated over time is statements about general markets, is not something that we really focused on and we really focused on all of our investments that we're doing. Yes, we're worried about overall spread widening in a particular market sector, but really when we're making a credit investment in an asset we're really looking to the performance of that asset irrespective of what's going on in the marketplace, and we need to be comfortable with that first. The mark to market of those assets were sensitive too, but we're really more driven by long-term performance in the cash flows of the property. And so when I talk about we're focusing on areas of population growth, favorable business environments which is exactly what it means, right. The overall economy in the country maybe 2%, but there's parts of the country that are doing much better than 2% and in parts of the company they are doing much worse than 2%. So we're trying to use our geographic region as a benefit to identifying assets.
Eric Hagen: Thanks Steve. Appreciate it.
Steven Mumma: Sure.
Operator: Thank you. [Operator Instructions] Next question is from Jessica Levi-Ribner of FBR & Co. Your line is open.
Jessica Levi-Ribner: Good morning. How are you?
Steven Mumma: Good morning, Jessica.
Jessica Levi-Ribner: Just a quick question on, I guess piggybacking for the last question, the opportunity side in the multifamily origination space versus CMBS?
Steven Mumma: Sure. Where we like to invest in the CMBS, we historically have invested in CMBS with the first loss Freddie Mac K-Series bond. Those spreads have going back to levels that are - what we think maybe attractive. We're watching that market. We've also participated in the class that's right above the first loss piece. And that's something that we're interested and participating in and we’ll prohibit as they going forward in the future. That new issue market is back out to levels that may make sense to us. We have participated historically on season credit pieces when they wind down in the first and second quarter. We’ve sort of back away from that in the third quarter. We try to focus on the agency issued CMBS market as opposed to the non-agency CMBS market. We just think we're more comfortable with the agency CMBS market today. And then the direct origination, it's really a matter of making sure that we develop partnerships with originators and investment property owners around the country. And as we've brought RiverBanc into NYMT fold, the capital that NYMT can dedicate to RiverBanc I think is going to help those sales guys out there and culturing those relationships. We’d like to think that our pipeline for origination as we go into 2017 will start to build up the $32 million we funded in the third quarter. So keep it in mind, seasonally, I would say the fourth quarter - as you get through December, January those are probably two slowest months and I think as we get February, March, April those are probably - June are the two biggest months, the strongest period of time to originate. So we are focused on trying to develop a consistent pipeline, but we don't want to sacrifice quality for just sake of investing dollars.
Jessica Levi-Ribner: Fair enough. And then just thinking about regaining your agency exposure, especially given kind of seasonality in the fourth quarter in terms of originations, are you going to slow your sales of agencies just so that you don't have too much of a cash drag on the balance sheet or how are you thinking about that?
Steven Mumma: That's right. I mean the way we look at our agency portfolio right now - in the first question I was talking about when we will do a securitization in CMBS. I mean clearly we're sensitive to the asset flows like having that optionality that we can get in and out of assets or increase or decrease funding to support the asset investments. And that's what we're trying to do, right. And we're looking at what's the best - is it better to borrow money or sell agency. So if you look at the incremental impact of the portfolio yield that's really how we are making the decisions. If we see an opportunity where we can get fully invested in the credit assets, we would reduce the - we would start selling the agency portfolio more aggressively and reducing it.
Jessica Levi-Ribner: Okay. Great. Thank you so much.
Steven Mumma: Sure.
Operator: Thank you. There are no further questions at this time. I would like to turn the conference over to the Chairman and CEO, Steve Mumma for any closing remarks.
Steven Mumma: Thank you, operator. Thank you, everyone for participating in the call. We appreciate that and we look forward to talking about our year-end results sometime in late February. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect. Have a wonderful day.